Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Ellington Financial's Second Quarter 2025 Earnings Conference Call. Today's call is being recorded. [Operator Instructions] Now at this time, it is my pleasure to turn the call over to Alaael-Deen Shilleh, Associate General Counsel. Please go ahead, sir.
Alaael-Deen Shilleh:
Associate General Counsel & Secretary: Thank you. Before we begin, I'd like to remind everyone that this conference call may include forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. These statements are not historical in nature and involve risks and uncertainties detailed in our annual and quarterly reports filed with the SEC. Actual results may differ materially from these statements. So they should not be considered to be predictions of future events. The company undertakes no obligation to update these forward-looking statements. Joining me today are Larry Penn, Chief Executive Officer of Ellington Financial; Mark Tecotzky, Co-Chief Investment Officer; and JR Herlihy, Chief Financial Officer. Our second quarter earnings conference call presentation is available on our website, ellingtonfinancial.com. Today's call will track that presentation and all statements and references to figures are qualified by the important notice and endnotes in the presentation. With that, I'll hand it over to Larry.
Laurence Eric Penn: Thanks, Alaael-Deen. Good morning, everyone, and thank you for joining us today. We'll begin on Slide 3 of the presentation. Ellington Financial delivered an excellent second quarter with broad-based contributions from both our diversified investment portfolio and our loan origination platforms. For the quarter, Ellington Financial generated GAAP net income of $0.45 per share, equating to an annualized economic return of nearly 14%, with book value per share increasing quarter-over-quarter to $13.49. Meanwhile, our adjusted distributable earnings per share increased sequentially by $0.08 to $0.47, significantly exceeding our $0.39 of dividends per share. In a volatile, but opportunity-rich second quarter, Ellington Financial once again demonstrated the strength and adaptability of its platform. Early in the quarter, as credit spreads widened amid tariff-related uncertainty, we were very well-positioned as we had a large credit hedge portfolio coming into the quarter. In recent periods, we have tended to increase our corporate credit hedges somewhat in response to tighter corporate credit spreads and then monetize some of those credit hedges if spreads widen. During market-wide negative credit shocks, such as we saw in early April, our corporate credit hedges not only help stabilize our book value, but they also bolster our liquidity as we have daily access in cash to the mark-to-market gains on these positions. During the April sell-off, with markets dislocated and our liquidity position strong, we were well positioned to capitalize on the environment by adding attractively priced securities. That early April market volatility also helped guide our securitization activity. Following a first quarter in which we executed 5 well-timed securitizations, we temporarily paused issuance during early April and then we resumed activity only after spreads had stabilized. Our patient approach was rewarded as we ended up completing a full 6 securitizations over the course of the second quarter at attractive levels. As a result of all this activity, our overall portfolio size remained roughly unchanged quarter-over-quarter. Securitizations, tactical sales and steady principal repayments from our short-term loans were largely offset by opportunistic purchases and growth in our mortgage loan portfolios, particularly in non-QM, proprietary reverse and commercial mortgage bridge. Turning back to our adjusted distributable earnings. As I noted, we reported a terrific $0.08 increase this quarter to $0.47 per share. That very strong result reflected both steady credit performance from our loan portfolio as well as standout contributions from our loan origination platforms, most notably $0.13 in ADE contributions from Longbridge. Longbridge's strong quarter was driven by solid performance across all components of its business. Origination profits driven by volume growth and stable margins in both HECM and proprietary reverse, securitization gains, reflecting a successful [indiscernible] reverse securitization transaction in May and servicing income driven by recurring MSR revenue and strong tail securitizations. We also benefited from notably strong performance from our non-QM originator affiliates, LendSure and American Heritage, underpinned in each case by high origination volumes and continued solid operating margins. Given our equity stakes in these originators, their profitability contributed nicely to EFC's bottom line for the quarter. But more importantly, we continue to earn robust net interest income from the non-QM loans and retained non-QM tranches we hold on balance sheet, many of which continue to be sourced from these 2 affiliates of ours. Meanwhile, we continue to expand our strategic originator partnerships. During the quarter, we closed on another equity investment in a non-QM and RTL originator. This strategic investment was accompanied by our typical forward flow agreement with that originator, consistent with our strategy of securing ongoing access to high-quality loans at attractive pricing and on a predictable time line. With that, I'll turn the call over to JR to walk through our financial results in more detail. JR?
J. R. Herlihy: Thanks, Larry. Good morning, everyone. For the second quarter, we reported GAAP net income of $0.45 per common share on a fully mark-to-market basis and ADE of $0.47 per share. On Slide 5 of the deck, you can see the portfolio income breakdown by strategy, $0.61 per share from credit, negative $0.01 from Agency and $0.11 from Longbridge. And on Slide 6, you can see the ADE breakdown by segment, $0.56 per share from the investment portfolio segment and $0.13 per share from the Longbridge segment. In the credit portfolio, net interest income grew sequentially and we also had net realized and unrealized gains on non-QM loans and retained tranches, closed-end second lien loans and retained tranches and other loans in ABS. Positive results from equity investments and loan originators further supported results. Partially offsetting higher net interest income were net unrealized losses on forward MSRs and losses on residential and commercial REO. Our Agency portfolio, meanwhile, had a modest loss as agency yield spreads were volatile and finished the quarter wider overall. The Longbridge segment had an excellent quarter, both in terms of GAAP net income and ADE with strong contributions from both originations and servicing. In originations, higher origination volumes in both HECM and proprietary reverse loans, steady origination margins for both products and net gains related to a proprietary reverse remote mortgage loan securitization drove results. Meanwhile, MSR-related income, strong tail securitization executions and the net gain on the HMBS MSR Equivalent, primarily due to tighter HMBS yield spreads drove the positive contribution from servicing. These gains were partially offset by net losses on interest rate hedges. Turning now to portfolio changes during the quarter. Slide 7 shows a 1% increase of our adjusted long credit portfolio to $3.32 billion quarter-over-quarter. Our portfolios of commercial mortgage bridge loans, non-QM loans and non-Agency RMBS all expanded, driven by net purchases. These increases were largely offset by the impact of securitizations, tactical sales of HELOCs and non-QM loans and a smaller residential transition loan portfolio with principal paydowns in that portfolio exceeding new purchases. In addition, we successfully resolved a larger nonperforming commercial mortgage asset during the quarter and now have only 1 significant workout remaining. Meanwhile, for our RTL, commercial mortgage and consumer loan portfolios, we received total principal paydowns of $248 million during the second quarter, which represented 15% of the combined fair value of those portfolios coming into the quarter, as the short duration portfolios continued to return capital steadily and provide excellent visibility on evolving credit trends. On Slide 8, you can see that our total long Agency RMBS portfolio, while still small, increased by 5% to $269 million. Slide 9 illustrates that our Longbridge portfolio decreased by 1% sequentially to $546 million as the impact of the securitization of proprietary reverse mortgage loans completed during the quarter slightly exceeded the impact of new originations in that sector. Please turn next to Slide 10 for a summary of our borrowings. At June 30, the total weighted average borrowing rate on recourse borrowings decreased by 2 basis points to 6.07% overall with a notable 15-basis point decline on credit borrowings. Quarter-over- quarter, the net interest margin on our credit portfolio increased by 21 basis points, while the NIM on Agency decreased by 17 basis points. With the size of our overall investment portfolio largely unchanged quarter-over-quarter, our leverage ratios were unchanged as well. At both March 31 and June 30, our recourse debt-to-equity ratio was 1.7:1 and including consolidated securitizations, our overall debt- to-equity ratio was 8.7:1. At June 30, combined cash and unencumbered assets increased to about $920 million or more than 50% of our total equity. Our total economic return for the second quarter was 3.3% non-annualized and our book value per share increased to $13.49. As has consistently been the case, we carry no goodwill on our balance sheet despite having made select corporate acquisitions over the years and we do not recognize any deferred tax assets. As a result, our reported book value is a fully tangible book value. With that, I'll pass it over to Mark.
Mark Ira Tecotzky: Thanks, JR. I'm very happy with our performance this quarter. It feels to me like EFC has shifted into a new gear. We had broad-based contributions across the investment portfolio, including from our investments in originators and a significant contribution from the Longbridge segment. Despite paying a generous dividend, book value per share increased. Over the past decade, we have methodically and thoughtfully assembled the building blocks of vertical integration and that architecture is now coming through in full force in our GAAP earnings, ADE and securitization volumes. Along the way, we have taken equity stakes in several mortgage originators and have nurtured their growth. Our portfolio of originator affiliates is growing market share, generating significant loan volumes for EFC and operating highly profitably. We have deliberately constructed Ellington Financial's loan business so that our investments in mortgage originators can secure us a steady pipeline of high-quality loans, which through the securitization process, we can turn into high-yielding investments for our portfolio. And now thanks to a robust origination portal developed by our technology team, EFC is purchasing non-QM loans from a wider range of lenders who access our competitive pricing and seamless workflow through a web-based platform. Our loan volume growth is enabling more frequent securitizations, which both reduces market risk and creates those high-yielding retained investments for our portfolio. Each incremental securitization also expands the universe of loans on which we benefit from valuable call options and strengthens our brand as a best-in-class securitization platform. A well-branded platform is a huge competitive advantage. It enables us to lower our liability costs relative to our competitors, sharpen our pricing and acquire the loans we find most attractive. One highlight this quarter is that we were able to increase both ADE and net interest margin, while keeping our overall portfolio size largely unchanged. One important driver of this improvement in efficiency comes from our expanding portfolio of high-yielding securitization retained tranches, which contribute outsized ADE. We completed 6 securitizations this quarter, a record for EFC. These transactions replace repo financing with non-mark-to-market long-term financing, enhancing the stability of our balance sheet and guarding against potential funding shocks. What's more, as our warehouse lenders see the consistency of our deal executions, they are able to provide EFC with more favorable financing terms on our warehouse lines. In commercial real estate lending, our bridge loan business is back in growth mode with more high-quality properties to lend against and more sponsors we want to work with. Our partnership with Sheridan Capital has been instrumental in driving this expansion. As with non-QM, we have also successfully lowered our financing costs for this product as our lenders recognize both our expanding footprint and the quality of our collateral and sponsors. As with non-QM, lower financing spreads for our commercial bridge business have been a great tailwind for our net interest margin. So we are expanding NIM from both sides of the equation by adding high-yielding assets, including more retained tranches and more commercial bridge loans and by lowering our funding costs in multiple parts of the portfolio. As a result, we were able to expand the NIM on our credit portfolio by 21 bps in the quarter despite the general tightening of asset spreads in the market. This quarter also featured strong earnings contributions from our portfolio of originator affiliates. EFC provides our affiliates with consistent and competitive loan pricing. Our originator affiliates have then used that pricing power to grow both market share and profitability. While our investments in these mortgage originators have been highly profitable even in the current interest rate environment, they could be even more profitable should interest rates decline meaningfully from here when I expect both volumes and operating margins to expand significantly. There was a lot of action in the past few months at FHFA, including major turnover at the Fannie Mae and Freddie Boards. If as expected, the footprint of the GSEs shrink, that door will open further for Ellington Financial to expand into a whole host of new loan sectors that Fannie and Freddie Mac pull back from. These market changes could have the potential to broaden our securitization platform and allow us to deploy capital in some very deep, but also very profitable new areas. But there are always things to be careful about. First on our mind is home price appreciation. Weakness in home prices, once more localized, is now more widespread. We are monitoring this closely and believe we are appropriately pricing for the risk. With last week's job report prompting revisions to many economic forecasts, the odds have increased for lower interest rates offering some HPA support. Meanwhile, our research team continues to study monthly remittance reports in detail. Lastly, as we grow our loan volumes, we need to stay laser-focused on execution. We know we have to provide consistent pricing and best-in-class service to our origination partners and ensure that our securitization process remains a well-oiled machine. We also need to closely and vigilantly analyze incoming data so we can adjust our lending guidelines in real-time in response to signs of weakness in housing or consumer health. Now back to Larry.
Laurence Eric Penn: Thank you, Mark. EFC's GAAP earnings and ADE have exceeded our dividend so far in 2025 and I am confident that trend will carry through the back half of the year. Building on that momentum, our third quarter is off to a great start with 4 securitizations priced so far, bringing our year-to-date total to 15. We continue to see strong performance across both our investment portfolio and our origination platforms. Longbridge's momentum has also carried right into the third quarter with July setting a new high for originations in 2025. We are particularly excited about the recent launch of Longbridge's HELOC for Seniors program, which we believe has the potential to become a meaningful contributor to EFC's earnings. While we haven't talked much about it before today, Mark mentioned the clear benefits we're seeing from the recent rollout of Ellington's non-QM loan origination portal, which enables our approved non-QM sellers to lock in loan sales to EFC through a fully automated web-based platform. This proprietary technology not only enables us to significantly scale our non-QM loan purchase volumes, but at the same time, it delivers real-time market feedback to our loan origination partners and ultimately streamlines the entire underwriting process. Our non-QM portal has enabled us to expand and further diversify our origination footprint by deepening relationships with both affiliate and non-affiliate originators alike with new origination partners signing on to the platform virtually every week. Looking ahead to the remainder of the year, EFC is truly firing on all cylinders now. And so I'm really optimistic that we will continue to both comfortably cover our dividend and grow book value per share. As you can see on the bottom of Slide 3, we're doing this even while keeping our liquidity position strong and our recourse leverage low, thus providing us with ample capacity to jump on any extraordinary opportunities as they emerge like we saw in April. Finally, we are also committed to further strengthening our liability structure, not only through additional securitizations, but also by strategically increasing our unsecured borrowings over time. And with that, let's open the floor to Q&A. Operator, please go ahead._
Operator: [Operator Instructions] We go first this morning to Bose George of KBW.
Bose Thomas George: Can you talk about the outlook for Longbridge? If rates decline, just how it helps the business? And then to the extent that volumes are increasing across the board for a lot of other asset mortgage types as well, how does that impact it? Do -- is there kind of a shift of attention for some of the producers to other loan types? Or yes, just if you can just walk through that.
Laurence Eric Penn: Thanks, Bose. I'll handle the part about Longbridge and then I'll pass it over to Mark for the second half of your question. So yes, so declining rates would absolutely help Longbridge in a couple of different ways. So first of all, the -- what in the reverse business is known as the principal factors, I believe, basically, the percentage of the home value that a borrower is able to take out, of course, that's going to depend on the borrower's age, right? The older the borrower, the higher percentage of that, effectively the higher LTV, starting LTV, they'll be able to have on that mortgage. So as rates decline, okay, those principal factors increase because it's all done via a present value calculation, mostly based upon where the 10-year treasury is. So -- and as you can imagine, reverse mortgages become more attractive, the more that borrowers are able to take out. And this is true for the HECM product, where basically HUD dictates what the -- what those principal factors are -- principal balance factors. And it's also true for our proprietary product because, again, we're going to base things on long term, where long-term rates are as well. So we'll absolutely see more activity and that's -- we've seen a very strong correlation in the past as rates drop, especially the 10-year treasury in particular, the amount that borrowers effectively there starting LTV increases and that definitely entices borrowers to take out more reverse mortgages. And of course, increases the loan balance in each one that they take out. Of course, when you've got fixed rate loans as well and we have both types in our portfolio, as rates drop, you're also going to have a lot of refinance activity. And I would note that Longbridge's market share has increased over the past several years. So you're talking about capturing a larger percentage of the entire universe, including loans that were originated probably some -- from some lenders that are now out of business. I would note that we actually -- having seen the, if you will, the directionality of Longbridge's business and they're killing it right now, even with rates where they are today, we actually have a specific hedge in the Longbridge segment, basically recognizing this phenomenon. So as rates have gone up, we make money on the hedge. And as rates go down, we lose money on the hedge, but that's offset by greater origination refi activity. And then I'll pass it to Mark for the second half of your question.
Mark Ira Tecotzky: Yes. Hey, Bose, could you repeat the second half again?
Bose Thomas George: Yes. The second half was just if volumes pick up in a lot of the other mortgage asset classes, I was just curious whether some of the originators shift to other things or a lot of the folks you deal with dedicated to the product?
Mark Ira Tecotzky: So the originator stakes we have, they are focused almost exclusively on non-QM and then to a lesser extent, residential transition lending. I think what you have seen though is some of the larger non-banks doing more non-QM origination at a time when Agency volumes are very low. So what I would expect to happen if rates were to drop from here, you might see a shift from some of the non-banks to focus more on their core agency business and less on non-QM. But for the originators we are working with, they're really non-QM primarily focused all the time.
Bose Thomas George: Okay. Great. And then actually, just a question on your outlook for home prices. To the extent home prices continue to moderate, maybe negative, a), do you think that that's a possibility? Or just how do you think that -- or the likelihood of that happening? And then just what your thoughts are on what that could do to credit spreads?
Mark Ira Tecotzky: Yes. If I think back and we have this -- we have an internal portal we use, which gets data from a variety of sources and then it aggregates it and we can use that to really zoom in on local markets. And if I think about what we're seeing now versus 6 months ago and I mentioned this in the prepared remarks, is 6 months ago, we saw some weakness in home prices, but it was fairly localized, Gulf Coast of Florida, Gulf Coast of Texas, maybe San Francisco. And if I look at that now, I would say, the areas where we're seeing weakness are more broad-based. We attribute it to a combination of factors. One, I think the most obvious one is that home prices have gone up a lot. So there's affordability challenges just in the price of the home. But then on top of that, you've seen rising taxes and insurance costs in some areas, which are exacerbating the affordability issue. So we are pricing for it. We monitor it very closely. In terms of our forecast for HPA nationally, I think -- I think HPA for the next year on a national basis is going to be fairly muted, a couple of percent. I think what's notable is that you've seen a lot of forecasters dialing down their HPA assumptions. So I would say that 6 months to a year ago, we were probably a little bit more bearish than most forecasters. I'd say right now we're probably sort of middle of the pack because we've kind of kept our -- we sort of expected this weakness has come to fruition. If you look at non-QM delinquencies now versus where they were, say, in 2020, delinquencies are definitely higher. I think for the first 5 or 6 years of the life of non-QM and it's a relatively new product, right? So really started 2016. So 2016 to 2021, I think the performance was shockingly good. And as a result, you've seen a lot of upgrades of tranches. I would say now it's sort of more performing in line with expectations. So delinquencies have gone up from -- if you think about how much credit enhancement you have in securitizations, you still have huge amounts of credit enhanced relative to expected losses. So you've seen securitization spreads holding well, but performance is more normalized than what it was 3 or 4 years ago. _
Operator: We go next now to Christian (sic) [ Crispin ] Love.
Crispin Elliot Love: On loan originator platforms, definitely been some more activity in deals in the mortgage originator space broadly. So curious if you're seeing more opportunities brought to you directly. It sounds like you added one in the quarter, may be interested in adding more. So what areas could those be to build on the current platform of non-QM and RTL today?
Mark Ira Tecotzky: The playbook we've used is we've generally made equity investments in platforms that we've worked with for a while, platforms we know, platforms where there's been ongoing dialogue about how they think about credit, how they think about underwriting. Some of the more high-profile transactions you've seen this year, those have been bigger, more established platforms that require a more significant check. We have liked on the non-QM side and the RTL side smaller checks, securing some volume and then growing that originator by virtue of sort of the economic heft EFC can bring to the table in terms of guaranteeing warehouse lines and things like that. And also sharing with these platforms, what we're seeing in terms of credit performance as a function of guidelines, maybe doing forward trades with them. So I think for us, we'll continue to see opportunities. I think it's less likely you'd see us make a significant acquisition in non-QM that would require a large check only because we've been able to secure volume with a different model of a small check and then putting in some sweat equity and that's worked out well for us.
Laurence Eric Penn: Yes. Just to add on that, Mark, I agree with you 100%. We -- if you look at the ratio of the volume that we secure from one of these investments to the investment itself, right, it's been very large. And we like that as compared to some of these other higher profile transactions you've seen, where it wouldn't be nearly as efficient, if you will. So we're not trying to build -- I mean, our portfolio of investments in these types of companies is on the order of magnitude of, what, $60 million, JR, something like that. Not counting Longbridge. Yes, $60 million, $70-odd million. Longbridge is an exception, right, because that is a unique company. And again, the investment there, majority of that investment in the platform is in MSRs, which are a yield-bearing asset for us. So in any case, yes, we like the playbook that we've acted on so far, and I don't see us writing any huge checks to buy originators, which would create some cyclicality as well.
Crispin Elliot Love: Great. I appreciate all that. And then can you just share your latest on credit quality? I know you had some bridge multifamily workouts. I think there's just one left today. So just curious on progress there, current view on the credit portfolio. And then also just what's the drag on net interest income today from the workouts?
Laurence Eric Penn: JR, do you want to take that?
J. R. Herlihy: Sure. Okay. Hopefully, we don't have that feedback. Right. So I made the point that we just have one significant workout remaining after working one out in Q2. We do have some other delinquent loans that are working through the process of resolution, but none of which we see as significant drags on earnings besides that one that identified. The one identified is more than $30 million fair value. And it's -- and we've talked about in the last few calls that it's going to take a little while and we're working through it, but it's a longer-term horizon for the resolution most likely. But otherwise, resolutions are moving through the pipeline quickly. In our queue, we'll show delinquency percentages for resi and commercial as we always do in the MD&A and in notes. And you'll be able to see trends that are continuing. We are seeing some percentages that don't necessarily reflect the speed at which we resolve and importantly, the high kind of recovery percentage, if you will, given the delinquency. So we think the best measure is looking at both together. So temporary delinquencies in the context of ultimate resolution proceeds. And so our realized losses, which is kind of the product of those 2 continue to be extremely low across all of these resi and commercial loan strategies.
Laurence Eric Penn: Yes. And on that $30 million workout, it's now gotten to the point where we're getting very close to breakeven on that. So let's call it, less than $0.01 a year of drag. But then once we've replaced that with one of our -- and redeployed that capital into one of our typical strategies, then you're looking at probably another $0.04 a year on the positive side. So that will be a $0.05 per year, not per quarter, but per year swing that we sort of look forward to as a 20 -- by 2026, right? This is not a 2025 event to resolve that loan, but I'm optimistic that it's a 2026 event. _
Operator: [Operator Instructions] We go next now to Trevor Cranston of Citizens JMP.
Trevor John Cranston: Question on Longbridge. Larry, you briefly mentioned the new HELOC for Seniors product that they're offering. I was wondering if you could provide some color on kind of what that product is and how it differs from sort of a traditional HELOC? And then second part of the question, with the momentum you're seeing at Longbridge in general, has there been a change in how you guys are thinking about sort of the long-term run rate's earnings contribution from them? And if you could maybe comment on how that potentially flows through to your thinking about the dividend level?
Laurence Eric Penn: Sure. Yes. I mean I think a few quarters ago, we were optimistic that Longbridge would be contributing $0.09 of ADE a quarter. Obviously, that's been -- we've beaten that. And I am cautiously optimistic that we're going to continue to beat that. This HELOC for Seniors program may not kick in right away, obviously, but I think it could be a big seller. It's basically similar to a -- to other reverse products, right, in that there's no maturity that's a date specific, right? But it doesn't have negative amortization the way that other reverse products do. So yes, so it's just -- the pressure of a fixed maturity date, right, isn't there. And yes, so I think that handles both parts of your question. _
Operator: We go next now to Doug Harter of UBS.
Douglas Michael Harter: You talked about kind of keeping your leverage low in the current environment, waiting for opportunities. How are you thinking about kind of the ability if loan volume picks up to kind of handle regular way increase? Do you need to kind of raise more capital to do that? And what is your appetite to do that?
Laurence Eric Penn: Yes. Well, I think the very last part of my closing remarks alluded to -- I think looking at our capital structure, I think we could use more unsecured debt. So I think that's the logical -- that would be the logical next step for us. And just now really forward-looking, but over time, it would be great if more and more of the debt side of our balance sheet was longer-term unsecured debt. The debt markets, both high-yield and investment grade are much tighter spreads, especially for newer issuers than they were not that long ago. So I think it could be great for a company like us to replace a lot of our shorter-term funding with longer-term unsecured debt. And we could keep our leverage low, but we could also deploy that capital in assets that are yielding more -- certainly more than the debt is if you look at where spreads are. So that's what we would look forward to doing. And in a lot of the markets, if it becomes sort of a virtuous cycle as we get better execution on our unsecured notes, then those unsecured notes start yielding as far as cost of funds go, become competitive with our repo and warehouse financing. So -- and obviously, much better in terms of our capital structure than having the short-term debt on the balance sheet. So that's kind of looking very long term, I think, aspirationally where we want to go. And there are other companies in the mortgage REIT space that have successfully done that.
Douglas Michael Harter: Great. I mean, I guess, do you -- how scalable do you think that is in the near term? And how deep do you think the -- kind of that market would be for you to kind of look to increase the size of that?
Laurence Eric Penn: Oh, the market is very deep and that's not the issue. And so I think it's just a question of -- yes, I think the market is there for us. So it's just a question of getting it done. And yes, so I'll just leave it at that. _
Operator: We go next now to Randy Binner of B. Riley.
Randy Binner: I just have 1, mostly covered at this point, but just on your comments on FHFA and the potential for the footprint of the GSEs to be smaller as it relates to non-QM. And it's something we've talked about and it's intuitive. But my question is, can -- would you be open to discussing a little bit like what that would look like more specifically? Meaning is it just more opportunities? Or is there the potential for new product types, new distribution instead of leveraging your existing? As we kind of march towards -- it seems inevitable that something is going to happen with Fannie and Freddie and there's headlines out literally while we've been on this call. Just be interested to hear like kind of the specifics of like what it might look like as a market opportunity specifically for Ellington.
Mark Ira Tecotzky: Sure. This is Mark. If you look back historically at what percentage of loans that qualify for a Fannie/Freddie guarantee fee actually go to Fannie/Freddie, the number now is still actually relatively large, right, like pre-financial crisis. There were lots and lots of loans that were being securitized through the private label market and the cost of credit enhancement in the private label market was lower than the GSEs. And then you went through the financial crisis, private label market froze up, spreads were very wide. The GSEs became kind of the only game in town, I'd say, from 2010 to maybe 2015. Then you saw the rise in non-QM. Non-QM is interesting because it's really serving borrowers that do not qualify for a Fannie/Freddie loan. It's Fannie/Freddie right now. They're all full dock, W2 1040 type underwrite. Non-QM does a lot of [Technical Difficulcty] loans. Non-QM does a lot of debt service coverage ratio loans. You're lending to an LLC. So those are things that GSEs don't do. What we see as the most immediate opportunity and we have added a little bit this -- to the portfolio is the GSEs have a cross-subsidy mentality, where they do not price the cost of their insurance strictly as a function of risk. It's not really risk-based pricing. Some of their pricing decisions are guided by sort of their mission. So if you look at the pricing of the g-fee and the loan price adjustments on second homes and on investor properties, the cost of insurance there is far, far, far exceeds historical losses and far, far exceeds projections of future losses, right? And it's been those areas where you've seen loans that are eligible for Fannie/Freddie. They have a Fannie/Freddie cert. The have MI if they're over 80. Those loans are now being bought by investors that choose to self-insure and take the extra spread or they're going into private label securitizations, right? So that's what I see as the most immediate opportunity set. As you mentioned, there's been continuing headlines and continuing ideas put out there about the future of Fannie and Freddie. So I think we'll have to wait and see what happens there. But the most immediate tangible thing now that we're acting on are these second homes and investor loans that qualify for Fannie/ Freddie guarantee fees. But what Fannie and Freddie charge is far, far in excess of reasonable expectations of credit losses because they want to -- they don't perceive those as core to their mission and they want to use profits on those loans to subsidize other loans that are more core to their mission.
Randy Binner: Got it. Is that -- I mean, is that why -- I mean, like RTL is something you all have done for a while, but it's more kind of in vogue, I guess, it seems like. Is that just pricing increasingly for those is getting kind of inside that g-fee, right? So just going more to the private market. Is that what's happening in the market?
Mark Ira Tecotzky: Were you saying on RTLs, the residential transition loans?
Randy Binner: Yes.
Mark Ira Tecotzky: Yes. That market is really a market Fannie and Freddie haven't been involved in. Those are typically cyclical [indiscernible]...
Randy Binner: Oh, I'm sorry, you're talking about investment properties. I'm sorry, [indiscernible]...
Mark Ira Tecotzky: Yes. I was talking about -- yes, sort of like I was talking about there's a house, it's fully renovated, someone wants to buy it and rent it out. And Fannie and Freddie historically have guaranteed a lot of those. The credit performance has been excellent on them, but the loan level price adjustments have been far, far in excess of reasonable loss expectations. And you've seen the private label market step in and say, "Hey, wait, we'll take on that credit risk essentially at a lower cost."
Operator: We go next now to Eric Hagen of BTIG.
Eric J. Hagen: Following up on this discussion here, I mean, would you say you're more constructive on the RTL space or the non-QM right now? I mean it seems like the returns in RTL could be higher, but there's probably more stable funding and access to leverage for non-QM. So how should investors like adjust for those? Where would you say the better, like, risk-adjusted return is in the market right now?
Mark Ira Tecotzky: We like them both and they've both had a big place in our balance sheet. I think Larry mentioned in his prepared remarks that we are exploring potentially doing an RTL securitization. Historically, that's been a balance sheet product for us, so essentially funded with repo financing. Now we're exploring terming out that financing. I think there's more things you can do with non-QM, right? There's -- you can hold loans on balance sheet with repo financing, you can do a securitization, you can take a vertical slice, you can take a horizontal slice. Then you have these call options, maybe rates will drop or something will happen, you exercise the call option when you can. So the non-QM market gives you sort of a more fulsome opportunity sets of things you can do as an owner of the loans and as a sponsor of deals. But in terms of expected return, I don't see a material difference in them. I think they both -- they serve different markets and they have a different role in the portfolio. And -- but with the consistency for us is we have liked having deep relationship, either an equity stake or ongoing dialogue with most of the originators for each of those products. That we find is really useful. You have a team that's out on the road that's having literally daily discussions with originators about what's going on with lending, what's going on with guidelines, what's going on with HPA. And that back-and-forth dialogue, I think, has been -- that's what's been consistent in my mind of both those sectors and why we have the comfort level with each of them having a significant allocation of capital.
Laurence Eric Penn: Yes. And if I could just expand on that, Mark. So first of all, as Mark said, the securitization market is very developed now for non- QM. And it's become quite elastic as well so that as spreads have tightened on the asset, spreads have also tightened really nicely on the liabilities. So -- and that's something that we monitor very closely. We talked about this portal that we have and we very much will adjust the rates that we offer are -- the lenders that are providing us with product on that platform very much will adjust those based upon where we see securitization spreads and there are lots of non- QM securitizations we're getting information all the time. So that product, I absolutely see us continuing to buy. We've also sold packages. We've sold -- by the way, we're doing -- for a long time now, we've been doing vertical risk retention as opposed to horizontal risk retention. And what that means is that the sort of the riskier tranches of securities that we retain at issuance, we have the flexibility to sell those in the open market. And we've done that, by the way, on occasion. So we've sold the horizontal risk that were -- was freely tradable because we did vertical risk retention. So the non-QM market, absolutely, I think, will continue to be a part of our strategy. And RTL as well, as Mark said, we are exploring securitizing that product. We haven't done that. It would be a kind of revolver-type structure. So I think both markets have their advantages. Non-QM, obviously, a lot more liquid. RTL, shorter maturities, which we like as well. So -- and -- but as we mentioned on the prepared remarks, we are seeing after certainly the problems in the commercial bridge loan market overall that were there after the rise in rates in 2022, that now, in a way, has created lots of opportunities. We're seeing more nonperforming loans in for the bid. We're seeing more bridge loan opportunities, good sponsors, good properties. So we've definitely been focusing a lot of our efforts there.
Operator: We'll go next now to Matthew Erdner of JonesTrading.
Matthew Erdner: So I guess in terms of extended opportunities in the non-QM space, I know you mentioned -- or sorry, not the non-QM space, but kind of the senior HELOCs there. What's the opportunity set that you're seeing there and kind of the plans for that product?
Laurence Eric Penn: Well, we just rolled it out. I don't want to give any projections on where that could go. But it's a unique product, right? And we think -- I think we're the only ones offering it. And if you just think about the simplicity in a way of that product, it makes a lot of sense. And we'll see how successful it is. It'll just be gravy, obviously, because like I said before, Longbridge is -- their results have been terrific and we continue to expect them to be so, but this could really add another dimension to that. So I'd rather not make any projections at this point, but the product makes a ton of sense.
Matthew Erdner: Got it. That's helpful. And then JR, I was wondering if you could comment on how you're thinking about the dividend over earning this quarter. And if you and the Board have to see that in trajectory to allow it to grow? Or just kind of your thoughts there on what you're thinking around the dividend.
Laurence Eric Penn: Sure. I'll take that, actually. Thanks. It's Larry. We've been -- as I said, our ADE and our GAAP earnings flow this year, it's covered the dividend. And we're -- I'm very optimistic and confident that it will continue to do so. As I said, we really are firing on all cylinders. So the next move, if there is a move, I think it will be up. I would tell you that we've been fans of a very stable dividend. If you go back to 2018, I just looked, so this was really over 7 years ago, our dividend was pretty close to where it was now. It was a quarterly dividend, not a monthly dividend. So I think we've done the right thing and kept our dividend very stable over what's a very long period of time. But I do think if there is a next move, it will be up, but I really don't want to sort of forecast when that will be. Obviously, that's a Board decision to make and it's not -- given the stability of our dividend, it would not be a decision that we would make lightly. I think increasing the amount of unsecured notes on our balance sheet could be a catalyst for that as well, right, because then that enables us to safely increase our leverage and create more ADE and dividend power, if you will, that way. So I see a lot of catalysts potentially for increasing dividend, but it's not something that I want to try to put a specific time frame on.
Matthew Erdner: Got it. That's very helpful there. And then apologies if I missed it, but did you guys give a quarter-to-date book value update?
J. R. Herlihy: We have not yet. We'll do that later this month, the month of August in ordinary course. But we did talk about how Q3 is off to a good start with securitization volumes, with the platforms doing well, with Longbridge hitting its high month of the year, but we did not give a number yet, but we'll be doing so later this month.
Laurence Eric Penn: Yes. And the typical timing for that is, what, maybe fourth week of the month is typically when we would put that out? Yes, something like that.
Operator: And gentlemen, that was our final question for today. So that will bring us to the conclusion of today's call. We thank you all for participating in the Ellington Financial second quarter 2025 earnings call. You may disconnect your lines at this time and have a wonderful day. Goodbye.